Operator: Good day. Thank you for standing by. Welcome to the CyberArk Software Q2, 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  [Operator Instructions] I would now like to hand the conference over to your speaker today, Erica Smith, Vice President, Investor Relations. Please go ahead.
Erica Smith: Thanks, D. Good morning. Thank you for joining us today to review CyberArk 's Second Quarter 2021 Financial Results. With me on the call, today are Udi Mokady, Chairman and Chief Executive Officer, and Josh Siegel, Chief Financial Officer. After prepared remarks, we will open up the call to a Question-and-Answer session.  Before we begin, let me remind you that certain statements made on the call today maybe considered forward-looking statements which reflect management's best judgment based on currently available information. I refer specifically to the discussion of our expectations and beliefs regarding our projected results of operations for the Third Quarter and full-year 2021.  Our actual results may differ materially from those projected in these forward-looking statements. I direct your attention to the Risk Factors contained in the company's Annual Report on Form 20-F filed with the U.S. Securities and Exchange Commission and those referenced in today's press release that is posted on CyberArk 's website, as well as risks regarding our ability to actively transition the business to a subscription model, the duration and scope of the COVID-19 pandemic, its related impact on global economies, and our ability to adjust in response to the COVID-19 pandemic.  CyberArk expressly disclaims any application or undertaking to release publicly any state updates or revisions to any forward-looking statements made herein. Additionally, non-GAAP financial measures will be discussed on this conference call. Reconciliations to the most directly comparable GAAP financial measures are also available in today's press release, as well as an updated investor presentation that outlines the financial discussion in today's call, and a webcast can also be found on our website in the Investor Relations section.  With that, I'd like to turn the call over to our Chairman and Chief Executive Officer, Udi Mokady. Udi.
Udi Mokady: Thanks Erica, and thanks, everyone, for joining the call today. We hope you and your families are all well. We had an amazing second quarter, one of the best in the company's history. Our subsequent transition rate out of the gates in the Second Quarter with the mix of subscription bookings reaching 65%. Despite that headwind created by the mix, we achieved total revenue of $117 million.  This revenue level paired with the mix over-achievement demonstrates that our bookings were considerably higher than anticipated in our guidance. In fact, the underlying business significantly accelerated in the second quarter, driven by record SaaS bookings and robust subscription demand. Due to our strong bookings, ARR grew by 35% to $315 million as of June 30. Even more importantly, our subscription ARR grew faster than 125% year-over-year. Recurring revenue reached $81 million, an increase of 32% compared to Q2 2020.  Subscription mix, ARR, and recurring revenue demonstrate the progress in the subscription transition, momentum in the business, and the incredible demand trends we are seeing for our Identity Security Platform, which is centered on PAM. I plan to frame our discussion on the quarter around the pillars of growth, subscription transition, innovation, and profitability. Firstly, on growth. Positive secular tailwinds and the execution of our land and expand strategy are contributing to the acceleration in our business.  Identity security is at the center of digital transformation, zero trusts, and hacker innovation, three of the most important and intertwined trends in cybersecurity. With digital transformation and the move to the cloud, privileged access is everywhere, and every identity across human users, applications, and bots can be privileged under certain conditions. If you think about zero trust, organizations around the world are no longer just strategizing about frameworks.  They are implementing programs and allocating budgets, taking an assumed breach mindset that shrugs nothing and verifies everything. Our techs are exploiting the changing IT landscape, and landmark reaches like SolarWinds, Microsoft Exchange, [Indiscernible] and Colonial Pipeline, identity compromise, and the abuse of privilege access are the common denominator. Weaponized software targeting supply chains and sophisticated ransomware attacks are examples of the severity of the threat landscape and are pushing our very security to the top of CIO and Cisco priority.  Our ability to deliver industrial-strength security and power business agility and growth and provide fast time to value is a unique and in-demand combination. This creates a strong market backdrop. Our go-to-market teams are executing and taking full advantage of these tailwinds to drive growth. They have quickly learned the land-and-expand approach focused on the value of subscription delivery, the ability to leverage a robust and growing partner network, and the selling process more aligned with our customers' needs that come with our industry-leading SaaS solutions and focused on subscription sales.  One of those important go-to-market focus areas was expanding our sales motion to include our identity securities vision. In January, we organized our sales team across the identity security pillars of PAM and our two-speed bots, Access and DevSecOps. As evidenced by the acceleration in our business, the increased focus and specialized resources are working. Productivity levels have increased in all regions, and our cross-sale activity has improved considerably. At the heart of our business is our robust PAM portfolio, and in Q2, PAM, and particularly Privileged Cloud, was the biggest driver of growth. The majority of our customers land with PAM We added more than a 185 new logos across verticals, geographies, and customer size.  In fact, Fortune 500 and Global 2000 companies in manufacturing, professional services, and critical infrastructure landed in Privileged Cloud in the second quarter. A clear demonstration that large enterprise customers are increasingly protecting the keys to the kingdom, leveraging the cloud, our cloud. In fact, the success of PAM extended across all portfolio areas as we look across -- as we look at strong close rates and a meaningful increase in deal sizes as new customers made longer-term strategic purchasing decisions with a broader set of our solutions. Customers are implementing comprehensive identity security programs, including CyberArk everywhere initiatives, relying on CyberArk across our portfolio of solutions.  This is in part because of the maturity of our solutions, but also the flight to trust. In today's threat environment, customers increasingly want to work with partners who have real-world experience solving critical cyber security challenges. While there are multiple examples from Q2, one I will highlight demonstrates the increased velocity of our business and our improved expansion motion. A financial services company who went deep with privilege access in the first quarter, expanded quickly in Q2 to secure servers with endpoint privilege manager in a high 6-figure ACV. The increase in ransomware attacks by Colonial Pipeline is accelerating demand for endpoint privilege manager, which has been proven in our lab to be 100% effective in blocking more than 3 million types of ransomware and counting.  I want to highlight a few more customer examples from the second quarter that demonstrates the power of our identity security strategy. An existing hospital customer who had been locking -- who had been locking down endpoints with CyberArk since 2019 is now displacing their legacy time vendor to modernize their environment with Privilege Cloud. They are further expanding CyberArk footprint by implementing Conjur to secure the DevOps pipeline as well as our access solutions, including vendor access. Our [Indiscernible] integrations such as SailPoint and ServiceNow, as well as our ability to secure a broad set of cloud use cases, were key contributors to this great expansion due (ph).  One of our PAM financial services customers in Europe was modernizing its identity stack and fixed CyberArk, MFA, and SSO identity solutions in a highly competitive situation. They recognized the criticality of identities and wanted identity access from a trusted partner who would have empowered the business, provide strong security controls, and deliver value quickly. In the 7-figure manual view, a European professional services company embraced our identity security platform buying nearly all of our SaaS solutions across the portfolio. This new logo will benefit from increased security and ease-of-use across all identities, protecting unions and non-unions across Privilege, Access, and DevSecOps. The breadth of our portfolio and our ability to secure modern and traditional applications were key to winning this new logo.  In a highly competitive win against a well-recognized DevOps solution, an existing Endpoint Privilege Manager customer is trusting Conjur Secrets Manager to secure its CI/CD pipeline. With CyberArk, this Fortune 500 transportation company, not only one of the scalability and agility of puncture but also the peace of mind from knowing that the mission-critical applications running its business are truly secure. Attackers are increasingly targeting applications and developers, which is contributing to the strong momentum for Conjur Secrets Manager. We're typically the second call after an incident response front in a post-breach situation. And there are a number of examples every quarter.  In Q2, a leading company that had just been hit by ransomware purchased Privilege Cloud through AWS and was up and running in a matter of hours, quickly getting their business operational. Our partner ecosystem of advisory firms, sparse, and secret technology partners, is further extending our reach and driving scale in our go-to-market. Our advisory firm partners are investing in some of our practices in training and dedicated resources, another demonstration of the strong market demand trends in the industry. CQ partners like Red Hat, who we collaborate with on automation and DevOps, as well as AWS cloud base and UI path, differentiate our solutions in the field and allow our customers to maximize their IT investments. Moving on to the second strategic pillar, which is our subscription transition. We perform ahead of our expectations.  Our transition strategy was set in motion in January, and since then, customers, partners, and employees have embraced the new selling strategy. In just the second quarter of our active transition, we reached a 65% subscription booking mix much faster than we anticipated. Our transition continues to be SaaS-heavy, and we were thrilled to reach a new record for SaaS bookings across every one of our SaaS products, with particular strength in Privilege Cloud and Endpoint Privilege Manager. In fact, every geography and every SaaS product is on the increase in subscription mix compared to the first quarter of 2021 giving us confidence that the subscription pricing will be adopted across verticals and regions.  While the active subscription transition is relatively new, we already have more than 675 customers with over $100,000 in their [Indiscernible], an increase of 39% from June of last year. We also continue to see great progress in our customer success program, and we are well on our way towards delivering transformative value to our customers. We are thrilled with the progression of our subscription transition. And after analyzing the past forward. we are confident we will reach our goal of 85% of bookings from subscriptions and exit the transition by the end of 2022. Said another way, instead of an 8 to 10 quarter transition, we now expect to complete the transition in 8 quarters.  Moving on to our innovation pillar, which is the foundation of our strategy and strengthens our leadership position in the market. We were pleased to be named a leader in the July 2021 Gartner Magic Quadrant for Privileged Access Management, positioned both highest in the ability to execute and further in the completeness of vision for the third time in a row. The power and differentiation of our data security strategy are demonstrated by Dynamic Privileged Access and secure web sessions, which we introduced at our Impact event in June. June. The response from our customers has been overwhelmingly positive.  Dynamic Privilege Access extended our existing just entire capabilities to multi-cloud and hybrid workloads. Every enterprise IT environment has both standing and Dynamic Privileged Access, and customers require a solution that secures both. Secure Web sessions are part of our Access speedboat and deliver continuous authentication and session protection, including session recording for all types of web applications, from business apps to cloud councils. This solution was described as a game-changer for identity security by customers who attended our event. We are the only vendor offering this essential capability required to achieve 0 trusts. I will wrap up with some comments on the profitability pillar.  Our go-to-market engine is firing on all cylinders, and our innovation machine is extending our leadership position. As we looked into the strong market fundamentals, acceleration of our business, and improved close rates and productivity, we made the decision to increase our investments in the second half of 2021, particularly in go-to-market, to drive growth in 2022 and beyond. We have not changed our philosophy around investments. We critically evaluate our investments to ensure we deliver a strong return and long-term value. And as a result, we expect to return to the profitability levels that we were on before we entered the transition period.  To recap, before looking ahead, we had an incredible second quarter, one of the best in the company's history. The underlying business accelerated, each of our SaaS solutions reached record bookings, identity security across PAM Access and DevSecOps are becoming a security requirement, pushed forward by major industry tailwinds; digital transformation, zero trusts, and hacker innovation, and our subscription transition strategy is delivering results. Our outperformance in the first half of the year gives us incredible confidence in our ability to execute, and the strong demand environment supports our growth.  As a result, we are raising the full-year booking assumptions underlying our guidance above and beyond our beat in Q2, which Josh will discuss in more detail. We are well on our way towards transforming the business into a fast-growing, durable subscription company with our cloud solutions leading the way. Which will unlock tremendous value for our company, our shareholders, our customers, and our partners. I will now turn the call over to Josh, who will discuss our results and outlook for the third quarter and full year. Josh?
Josh Siegel: Thanks, Udi. So before we discuss the details of the quarter, we wanted to remind you that we posted slides to the website that will be helpful as we walk through our results. As Udi already mentioned, we had a great second quarter with an acceleration in the underlying business, particularly for PAM and all of our subscription transition metrics came in better than we expected. in terms of the headlight P&L, we delivered total revenue of $117 million with a 65% mix of subscription bookings. That's well ahead of our guidance framework of a 55% mix.  As Udi also mentioned, revenue above the midpoint with a higher subscription bookings mix was because of the stronger than anticipated total bookings for the quarter, above what we guided for in May. Subscription revenue reached $27.1 million and represented 23% of total revenue in the second quarter. That's an increase of 101% from $13.4 million in subscription revenue and only 13% of total revenue in the second quarter last year. Our combined maintenance and professional services revenue were $62.9 million, with 53.5 million coming from recurring maintenance and $9.3 million in services revenue.  Total recurring revenue in the second quarter reached $80.6 million or 69% of total revenue, growing 32% from $60.8 million and only 57% of total revenue in the second quarter of last year. The mix of subscription bookings as a percentage of new license bookings really demonstrates the pace and success of the transition. We're moving faster than we planned through the transition, as you can see by our 65% subscription bookings mix. Economically, the headwind created by the mix was approximately $13 million in the second quarter, when we compare it like-for-like to the mix in the second quarter last year.  Normalizing for the mix shift, the license portion of our business, our SaaS, On-Prem subscription, and perpetual would have grown over 35% in the second quarter, which really supports the growth we see in our business. Taking the headwind into consideration, total revenue growth would have grown 22% year on year. On June 30, 2021, our ARR was $315 million, growing 35% year on year and representing an acceleration from the organic growth rate in the first quarter of 2021. we closely monitor the subscription portion, which grew 128% year-on-year to approximately $109 million and represented over 35% of total ARR at the end of June. Sequentially, we added nearly $22 million of SaaS and subscription ARR in the second quarter compared to the first quarter this year. On an organic basis, this was the strongest sequential increase in subscription ARR in the company's history.  The maintenance ARR was $206 million on June 30, 2021. So we're thrilled with the new business momentum in terms of a number of new logos added and a healthy increase in new business deal sizes. A bit more detail, about 83% of our more than 185 new logos were subscriptions. That's compared to about 50% in the second quarter of last year. Geographically, the businesses -- the business continues to be well-diversified. The Americas generated $69.5 million in revenue, representing 59% of total revenue. The Americas again has the strongest percentage of subscription bookings during the quarter. EMEA had $36 million in revenue or 31% of the total, APJ generated $12 million in revenue or 10% of total revenue with an increasing mix of SaaS and subscription. All line items of the P&L will be discussed now on a non-GAAP basis.  Please see the full GAAP to non-GAAP reconciliation in the tables of our press release. Our second-quarter gross profit was $97.9 million or an 84% gross margin compared to 85% gross margin in the second quarter last year. We continued to make disciplined investments in the business, resulting in operating expenses of $95.9 million, a 30% year-on-year growth, and operating income was $2 million in the quarter. 3 main items that impacted our operating income. First, the $13 million headwinds lowered our operating margin by about nine percentage points.  Second, higher expenses from foreign exchange rates lowered our operating income by about 2%. And third, a full quarter of expenses were adapted this year versus last year. On a like-for-like basis, neutralizing the headwind, FX, and adaptive, our operating margin would have been approximately 15% in the second quarter of 2021. Over 70% of our operating expenses are related to headcount. We executed even better than we expected against our aggressive hiring plan to invest in the business ending the second quarter with 1,969 employees worldwide. And of our total employee count, 881 employees are in Sales and Marketing. Net Income was $250,000 or $0.01 per diluted share for the second quarter.  In the first half of 2021, free cash flow was $45.2 million, or a 20% free cash flow margin. This cash flow contributed to our strong balance sheet, and we now ended the quarter with $1.2 billion in cash and investments. We also increased deferred revenue by 22% year on year to $275 million on June 30. Our SaaS deferred revenue grew by 136% to $63.6 million, and that compared to only $27 million on June 30, 2020. Now, turning to our guidance. For the third quarter of 2021, we expect total revenue of $116 million to $124 million. We expect a non-GAAP operating loss of about 6 million to a non-GAAP operating income of $1 million for the third quarter.  We expect our EPS to range from a non-GAAP net loss of $0.19 to a loss of $0.02 per basic share. This guidance assumes about 70% of subscription bookings and revenue and profitability headwind of approximately $14 million for the third quarter of 2021. Our normalized total revenue growth for the third quarter, taking the calculated headwind into account, is over 25% at the midpoint of the range. And if you isolated our licensed lines of SaaS, On-Prem subscription, and perpetual, the normalized growth rate for the third quarter calculates to be 40% year on year. Our guidance also assumes 40.2 million weighted average, basic, and diluted shares.  Our guidance for the full year of 2021 reflects the robust industry tailwinds and strong close rates. We expect total revenue in the range of $484 million to $496 million, and the mix assumption underlying our guidance for the full year is 64% from subscription bookings, and our revenue headwind for the full year is now approximately $63 million. This represents a significant increase from our prior guidance, which assumed a mix of 57% from subscription bookings and a $45 million headwind. Given the transition, we wanted to provide more color on our growth rate, taking the calculated headwind into account, which would approximate 19% at the midpoint of the range for total revenue.  And a few isolate our license lines of SaaS subscription, and perpetual, the normalized growth rate would be over 25% for the full-year. I want to emphasize that the combination of higher bookings mix and revenue headwind represents a significant increase in the booking assumptions underlying our guidance for the full year. Now, moving down the P&L, we expect a non-GAAP operating income to be between $7 million to $17 million. We expect our non-GAAP net income per diluted share to be in the range of $0.01 to $0.26. And for the full year, we expect 40.8 million weighted average diluted shares and about $12 million in taxes.  We are increasing our investments in the second half of the year to ensure that we can capitalize on the growth opportunity, our leadership position, and our fundamental strength as a business. We also want to provide a few updates on the timing of the transition and free cash flow guardrails for the full year. As Udi mentioned on the timing of the transition, we now expect to complete the subscription transition in eight quarters. Meaning, we should crossover our targeted 85% threshold of bookings from subscription already by the fourth quarter of 2022.  Lastly, on cash flow. While we do not intend to guide for cash flow, we did want to provide more granularity, given that we're already halfway through the year. Currently, we expect our free cash flow to be between 5% and 10% of the non-GAAP net income margin for the full year, with third-quarter free cash flow lower than the second quarter of 2021 because of typical seasonality. Second-quarter was great. Growth is accelerating, and our subscription transition is well underway. We are confident that our investments will drive growth and innovation in 2022 and beyond. With that, I'll now turn the call over to the Operator for Q&A. Operator?
Operator: Thank you, sir. As a reminder, to ask a question, [Operator Instructions]. Your first question comes from the line of Saket Kalia of Barclays.
Saket Kalia: Okay. Great. Hey guys, thanks for taking my questions here. Udi, maybe just to start with you. It's great to see the overall revenue upside in the quarter, but I think what was really interesting was to see the revenue guide unchanged for the year despite the higher subscription mix and sort of all the commentary on better bookings. So I was wondering if you could just maybe, double-click into what you feel like is driving that underlying better bookings backdrop, because I think we heard that last quarter as well. So could you just go one level deeper into whether this is coming from a change in the competitive environment or whether this is related to maybe some of the breach activity that we've seen? Curious what do you feel like is driving that better bookings activity?
Udi Mokady: Absolutely, Saket. And it's good to talk to you here today. We've talked in the past a lot about building a record pipeline. I would say we are executing against this record pipeline. So it's a combination of the demand environment, the market leadership and favorable competitive environment, and strong execution in how we organize to execute around it. The transition is really happening strongly as the sales team really embraced the SaaS subscription and we see increased demand and we're working on it and executing great. I mentioned the speedboats really complementing our PAM core business and very pleased to see the manager Privilege Cloud move up to upmarket, like the examples I've given where large enterprises are also adopting Privilege Cloud which gives us the opportunity also for quick time to value for them. So I would say all of the above; the execution against the growing demand environment, and I'd probably add that EPM specifically is getting strong demand driven by ransomware, but I will also say that the rest of the solutions are considered critical in this kind of threat environment and a strong pillar of zero trust.
Saket Kalia: Got it. Got it. That's super helpful. Josh, maybe for my follow-up for you. I think we understand the revised profitability. It feels like you're investing really to -- for continued growth, if you will, I think going into future years. Can you just go a little bit deeper into will all those investments be in go-to-market. Is there anything in that revised operating income guide that maybe has to do with the changing mix or just maybe one level deeper into the revised operating income guide because maybe for me, that was a little unexpected given the unchanged revenue guide. So just maybe one level deeper if you can.
Josh Siegel: Yes. Thanks. And I will certainly go into that. So first of all, we did extra hires in Q2. We were able to -- even overachieved on our internal targets for hiring because we were considering a very tight and competitive job market out there and with over 160 net additions, we're starting into the H2 in a strong position from the hiring perspective and we will continue to be doing that as we go into the second half. And it's going to be really stepping on the gas that go to market hires in the second half. And it's coming from -- and the other part that I would dive into the other part I would dive into is that we overachieved in Q2 bookings. Our guidance, as you pointed out as well, and as we pointed out several times this morning, that we believe we're beating up our original internal forecasts on bookings for H2. And that's really going to drive up our variable amounts as well into H2. So when we consider where we are on our position for hires going into the second half when we consider our targets for our go-to-market hires going into the second half and increased expenses related to the fact that we actually are booking more business in Q2 and are expecting to do some more in the second half, we're seeing a rise. And that's what's contributing to the under the hood to that change in the operating expenses.
Udi Mokady: And I will just add that nothing changed in our approach to run a highly efficient, profitable business, But there -- as Josh mentioned, exiting Q2 with such growth and the faster transition to subscription and adoption across -- of SaaS by the enterprise and a favorable competitive landscape in market fundamentals, we believe that that really justify increased investment in go-to-market and scaling of the Company, that they'll support the acceleration of the business and build the momentum that we've been talking about today.
Saket Kalia: Got it. Very helpful, guys. Thanks. I'll get back in queue.
Udi Mokady: Thank you.
Operator: Your next question comes from the line of Sterling Auty of JP Morgan.
Sterling Auty: Yeah, thanks. Hi, guys. So I want to ask the subscription transition question this way. Obviously the mix is much better than you originally expected, who is not choosing subscription? Especially when you talk about the new customers coming on, what's the profile of the Company that says, "You know what, subscription is just not for me."
Josh Siegel: Yes. Sterling, I'll start. I would say that were primarily very pleasantly surprised by the adoption across regions and across verticals and as I mentioned in my prepared remarks, we even have critical infrastructure companies and large lot of global 2000 and 2500 adopting it. And it's happening across the board and across geographies. As Josh mentioned, 83% of the new logos, were SaaS subscription, so it's really happening. If I were to point the verticals that we expect them to be laggards in the adoption, it's probably the global government vertical is where we expect them to be. The later on the adoption and want to still kick off more in perpetual. And again, under government, you can also put some highly regulated verticals, but it's happening. And within the regions, APJ is adopting it, but well be slower in adopting a SaaS subscription.
Sterling Auty: Makes sense. And then, Josh, one follow-up for you. I missed it if you said it, but you've given us kind of a great view on what revenue would have been if you didn't do the transition. But what about free cash flow? I think first half year-to-date, you're down about 5 million. But in the perpetual maintenance, I would imagine you collect just a much bigger portion of the value than you do under subscription. Even if you don't have an exact number, can you just give us a framework of how to think about that?
Josh Siegel: Yes. I mean, you're right on the SaaS, the subscription model, there's much more annual payments than in a classic perpetual maintenance model. And also let's remember that perpetual -- the perpetual piece is getting more money for the license portion as compared to a typical annual contract. It's usually annual. The contracts could be two to three years breakeven before you get to the perpetual size. So I know the other piece, and obviously, I can't give you necessarily a framework, but there is some impact on cash flow relative to the mix success and subscription.  I would probably -- when we think about it, correlated to -- on the -- we've always been talking about cash flow being around 0% to 10% above Net Operating Margin but what we're seeing is still the same percentage over Net Operating Margin, but a lower Net Operating Margin. So that's where I would correlate the difference.
Sterling Auty: Yeah. That makes sense. Thank you so much.
Operator: Our next question comes from the line of Jonathan Ho (ph).
Jonathan Ho: Hi, good morning. Let me echo my congratulations as well. Can you give us a little bit more color on the multi-product deals that you're seeing or platform purchases? And does SaaS make it easier for customers either to buy upfront or to add-on sort of additional products over time?
Udi Mokady: Yes, absolutely, Jonathan. I think we gave some examples on the call. A customer that starts with the Privilege Cloud adds EPM faster. And we've seen it with the examples of customers going broad on the advanced security solutions. So with the combined packages, we see everyone, every customer can land with third-party access, MFA and [Indiscernible] also. They get a good bite on the offering depending on how they land and then from there we can show value and expand. So it's definitely the power of the advanced security platform taking place.
Jonathan Ho: Got it. And are you seeing any evidence of potentially pent-up demand from COVID-19 or maybe companies that are taking a little bit more of a strategic review of their portfolio and they're now looking for either your SaaS solutions or the add-ons of some of these SaaS solutions on the Privilege Cloud side? Thank you.
Udi Mokady: Absolutely the latter. I would say it's -- companies are being more strategic. They're in the new normal and it's time for them even with regards to SolarWinds and events of that kind. But the first was kind of reactionary. What do we do to patch and solve and we're seeing customers across the board be very strategic across the -- how they're going to secure their future and looking to be more programmatic and definitely is faster in adopting in Cloud. And we can see that also in the new logos where deal sizes have increased as they take a larger bite because they're being more [Indiscernible] can see it in our results for the third year in a row in the Gartner Magic Quadrant and really having the top leader position. I think in the same time, we've seen the traditional PAM vendors switching on private equity and we're seeing disruption there. And so we're not waiting and pushing ahead on PAM. And then with our extension into identity security, we have the broad offering with PAM at the center, but the ability to push the full identity management suite and DevOps. And in that realm, we obviously can counter the Access players and the DevOps players, but we win on having a security-first mindset with the customer and the fact that they trust us with PAM at the [Indiscernible] The example that I alluded to and our win on the DevOps front is exactly where customers no longer -- especially after SolarWinds and the increased threat environment if they, I would say, more control shifting back to security-first mindset for the customer and here they wanted a security conduit to be the one securing and have the ability to secure all types of applications.  And we need to differentiate ourselves in the market with our secrets management that needed to be agnostic to what would be the chosen developer platform. Our partnership with Red Hat, and the ability to integrate all of that into their PAM. And so having the PAM platform and being able to secure throughout all types of applications was what led us to this win and many wins on this front.
Jonathan Ho: Okay. That's helpful, and I was going to ask you about Centrify, so I think you hit that. And then maybe just a quick follow-up. The deal you announced or I guess the transaction you announced, AWS purchase of Privilege Cloud or Privilege Cloud being purchased through AWS.  How significant is AWS as a channel? Is that more down-market, and how does that lead to follow-ons? Do you have a lot of visibility to increase the cash after Privilege Cloud is purchased through that channel? Thanks.
Udi Mokady: I don't know. That's a great question and I will say that AWS is a new channel for us, but we're very excited about it because it compliments -- it's actually inclusive channel that works on top of our other channel partners, especially where our customers have existing AWS relationships and are able to buy through the marketplace. So that was a great example we put out there where the demand was for CyberArk we helped the customer recover from ransomware into our Privilege Cloud and the ability for them to buy them through AWS really accelerated the whole cycle. And we have multiple integrations with AWS but we're moving up in the partnership with them and we're going to invest more in this go-to-market to be able to replicate down those wins. Again, in complement to our existing channels.
Jonathan Ho: That's very helpful. Thank you.
Operator: Your next question comes from the line of Jonathan Ruykhaver of Baird.
Jonathan Ruykhaver: Hey guys, congrats on the strong performance. So it's really great to hear how well Privilege Cloud is doing. But Udi, I'm curious if you can give us some color on adaptive, just -- it's been about a year since the acquisition. It seems like you've had some early traction there. But just, I'm just curious how you feel about the positioning there, especially with the security first messaging?
Josh Siegel: I think it's -- we're very excited about the speedboat and how they're performing. And I would say this is a really a breakout quarter for them in the muscle of both landing new logos and also creating add-on opportunities within our customer base. So I would say it's a newer part of the business, but the speedboat is well on its way with strong progress in the markets. We invested a lot with integrating our solutions and our ability for our customers to really see success from leveraging the connectivity to PAM, to vendor access, and the other things that we've brought to the table. And the customers are very excited about what we announced at our impact events with secure web sessions and our ability to give them PAM life controls for all types of users. And so this will be available in the second half of the year and we expect that to give us an increased competitive advantage and a good why on why adopt Identity Security as a strategy.
Jonathan Ruykhaver: Yeah. No, that's great to hear, Udi. And that just -- I think you touched on some of these dynamics earlier, but when you look at net new era in the quarter, peeling back the layers, any seasonal impacts or dynamics or maintenance that we should be aware of in the quarter and as we're looking at 3Q?
Udi Mokady: Okay. Jonathan, actually, I think there's nothing seasonal that I would point to. Everything on the maintenance side behaves according to plan and just we exceeded plan in terms of the business coming from SaaS and subscription. I want to take this one opportunity though, to the question earlier around the percentage of ARR. For EPM I said it was about 20%. It's about 20% of the subscription ARR component that we have. So I just wanted to clarify that. Thanks.
Jonathan Ruykhaver: Thanks, guys.
Operator: Your next question comes from the line of Roger Boyd of UBS.
Roger Boyd: Hey, thank you. Just a quick question on perpetual and your expectations for the back-half year relative to the strongback kickbacks and 35% in arrow growth. Can you talk about if there's anything changing from an incentive standpoint from first half to the second half or is it just more of a go to market [Indiscernible] strive, doubles are coming online and customer demand is just organically going that way?
Udi Mokady: So I think we talked about, we're expecting, again, a growing mix in Q3 with a 70% mix. And then in Q4, we're expecting more add-on business coming with perpetual. In terms of the teams, they're all incented to sell SaaS and subscription, we kicked that off in January. They're all train -- all regions are running and pushing that. So the only nuance, which is a positive one, is we expect to add-on business from existing customers in Q4, which will be an increase in perpetual into that mix.
Roger Boyd: So that would be add-on business, not any sort of conversion of maintenance revenue?
Josh Siegel: It will be mostly add-on. There will be still even some new business because let's remember that the pipeline is still rolling out from a historical old pipeline going into the back half of this year, but it will be a combination, but mostly probably the add with some new business.
Roger Boyd: Got it. Okay Thank you very much.
Operator: Your next question comes from the line of Gregg Moskowitz of Mizuho.
Gregg Moskowitz: All right. Thank you for taking the questions. Guys, I know you introduced some new subscription packages at the beginning of the year and I would love to hear some more about how that's tracking so far.
Udi Mokady: Yeah, I will say that all new pipeline is basically containing -- and of course deals that closed within the cycle is on the new packages that combine to restrict analytics, multi-factor authentication, and an often vendor access into the mix. There is a higher value for our customer to adopt the new package of what they get from the get-go and what we're seeing both in pipeline and also in the first deals that were closed within a newly-created pipeline.
Gregg Moskowitz: All right. That's very helpful. Thanks, Udi. And then for Josh. So the acceleration of go-to-market investments in the second half, is this primarily greater sales capacity or will there be other aspects of go-to-market such as channel enablement, marketing, et cetera, that you might be significantly ramping as well?
Josh Siegel: Yeah. Well, when we think about the incremental piece, it's really across all of the functions in go-to-market. It's heads and it's quota carriers, but definitely also related to overlays and channel managers and the likes, but really around the go-to-market engine.
Gregg Moskowitz: All right. Perfect. Thanks very much.
Operator: Your next question comes from the line of Catharine Trebnick of Colliers.
Catharine Trebnick: Thank you for taking my question. And good quarter. Could you just pull apart for me maybe the top five C3 players on your alliance that really help you drive revenue or cross-sell, up-sell within some of your accounts, thanks.
Udi Mokady: Sure. I mentioned a few. I will put up Red Hat and SailPoint, and [Indiscernible] as well cloud-based, I'll probably add Proofpoint's in there as well, if I try -- if I go for a top 5. And with all of them, they have this really great collaboration in the field and also integration. And on top of that, the CQ -- the power of the CQ over lines is really strong because there's variety. There are deals where customers want integration with their IoT devices and we have partners to support that, like Forescout. And so it's also the power of the variety and also the focus on the top. And like I mentioned earlier we should add AWS in there as a thought partnering. And I gave example on the call with ServiceNow, so I'm beyond the five, right? Because there are multiple partners definitely.
Catharine Trebnick: Thank you very much.
Operator: Your next question comes from the line of Alex Henderson of Needham.
Alex Henderson: Thank you. So your transition here has resulted in a pretty steep reduction in operating margins year-over-year from about 20% down to about 1%. Obviously that process continues out into '22.  And I know you don't give guidance for '22, but the street has a significant increase in EPS model for '22 yet I think your slide deck from your Analysts Day showed a decline in operating margins from '21 to '22. Is a decline in operating margin still in order given the accelerated pace that you've already achieved, or alternatively, will that moderate a little bit more because you're already further into the process? If you could give us some directionality to margins for '22 based on your expectations around the transition, achieving 85% by the end of the year, fourth quarter, that would be very helpful. Thanks.
Josh Siegel: So, thanks Alex. Nothing has changed in terms of the fundamental economics behind the transition of the model transition in the context that operating margin takes a hit as you transition through the model and get to the other side of 85% to 90% coming from bookings and it continues that way until you get to that point. So what we talked about today is that we're excited that we're able to move that point up to more certainty, to being by the fourth quarter of 2022. So we do anticipate the operating margin to follow through our transition model to potentially go down through the transition into 2022.  What we liked though in terms of moving the transition table up, is that we'll be to now come out of the transition faster and typically you will then see the rebound of operating margin going up post the last transition quarter. So when we get to the end of '22, the way the model works on these transitions is then -- would then be able to rebound and go and return to the profitability earlier rather than later. And I would add, we're still fundamentally sound on being able to achieve again, coming out of that transition, a couple of quarters on the other side of the transition to return to our rule 40 targets after that. And so basically moving it up to 8 quarters is basically moving -- is moving where we're going to come out back to profitability sooner.
Alex Henderson: Super. And the accelerated hiring I think also adds to that pressure in '22 though, right?
Josh Siegel: Yeah, but it's all part of a -- if we think about even the guidance for this year economically, our guide is still talking about, if you consider the headwind coming into 20% revenue growth with 13% operating margin, and obviously whatever we hire in this year is going to go into next year but fundamentally, we're still focused on being able to hit the transition and then afterward be able to rebound to a Rule of 40 Company going into the following year.
Alex Henderson: Great transition. Thanks.
Josh Siegel: Thank you.
Operator: This concludes the Q&A session. I will now turn the call back over to CEO Udi Mokady for closing remarks.
Udi Mokady: I want to thank our customers, partners, and employees for contributing to our strong second quarter and supporting our fast transition to a subscription Company. I'm confident that as we execute our strategy, we will build even deeper relationships with our customers and partners. Again, thanks everyone.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.